Operator: Good day ladies and gentlemen and welcome to the third quarter 2010 Weatherford International Earnings Conference Call. My name is Jeff [ph] and I’ll be your operator for today. At this time, all participants are in a listen-only mode, later we will facilitate a question-and-answer session. (Operator Instructions). As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today Mr. Duroc-Danner, Chairman and Chief Executive Officer. Please proceed, sir.
Bernard Duroc-Danner: Thank you. Good morning. Andy will read prepared comments and I will do the same and we will take Q&A as usual. Andy please.
Andrew Becnel: Good morning. For the third quarter of 2010, our reported EPS number is $0.18 before excluded items. This is a $0.07 improvement over the second quarter and chops are$0.16 guidance. Our reported number excludes the following items, which together represent an after tax gain of $12 million. One, non-cash benefit of $90 million related to the revaluation of the TNK put. A $54 million charge for revisions to our profitability estimates on our project management contracts in Mexico, where the client’s budget constrains triggered an activity decline to near zero and an expected modification to future drilling plans. As a reminder, the only projects we account for on percentage of completion basis are in Mexico and one project in China. The Mexico projects cover approximately $2 billion of revenues over their lives. The change brought about this quarter was in essence due to a change in public policy in Mexico with respect to expenditures. Third, $14 million in severance and restructuring costs, $7 million of premiums paid in connection with the tender and repurchase of outstanding bonds to 2011 and $3 million of costs incurred in connection with our ongoing and government investigations. This is about the same charge that we took in Q2 related to the investigations. Following the Q3 gain on the TNK put, a $62 million liability remains on our balance sheet at September 30. A reconciliation of all these items can be found on our website at weatheford.com. On the EPS side, the field was responsible for the entire $0.07 sequential step up. North America contributed $0.08 while International Operations dropped by a $0.01. On a consolidated basis, revenue increased at $96 million sequentially or 4%, and advanced $384 million or 18% compared to the prior year quarter. North America revenue climbed 19% sequentially with strong performance in the US land market and the seasonal recovery in Canada drove the growth. On conventional gas, oil directed drilling and liquid rich plates continue to ramp.
 : Consolidated operating income before corporate and R&D was $372 million, up $64 million sequentially with operating margins at 14.7%. This is a 210 basis point improvement over Q2. Compared to the same quarter of the prior year, consolidated EBIT before corporate and R&D was up $138 million or 59%. By region, in North America, operating income of $202 million stepped up 56% sequentially and margins climbed 430 basis points to 18.3%, incrementals were just north of 40%. Increased onshore activity in the US combined with Canada seasonal recovery allowed for improved fixed cost absorption and further pricing gains. In the East, operating income was down $12 million sequentially with margins down 100 basis points to 11.7%. Europe, West Africa, FSU operating income declined $2 million sequentially with margins relatively flat versus Q2. In Russia, we booked a one-time $6 million negative adjustment after finalizing third-party asset valuations in connection with the TNK-BP acquisition, this is included in our recurring results.
 : Consolidated operating income before corporate and R&D was $372 million, up $64 million sequentially with operating margins at 14.7%. This is a 210 basis point improvement over Q2. Compared to the same quarter of the prior year, consolidated EBIT before corporate and R&D was up $138 million or 59%. By region, in North America, operating income of $202 million stepped up 56% sequentially and margins climbed 430 basis points to 18.3%, incrementals were just north of 40%. Increased onshore activity in the US combined with Canada seasonal recovery allowed for improved fixed cost absorption and further pricing gains. In the East, operating income was down $12 million sequentially with margins down 100 basis points to 11.7%. Europe, West Africa, FSU operating income declined $2 million sequentially with margins relatively flat versus Q2. In Russia, we booked a one-time $6 million negative adjustment after finalizing third-party asset valuations in connection with the TNK-BP acquisition, this is included in our recurring results.
 : Cash in capital, during Q3 we generated EBITDA of $545 million with D&A running at $269 million, CapEx was 243 for the quarter net of $25 million of lost and whole revenue. Free cash flow was $85 million defined as changes in net debt, this is after payment of approximately $25 million in bond issuance cost and tender premiums and despite cash interest and taxes exceeding book expense by approximately $72 million. Through the first nine months of the year we are $138 million free cash flow positive, which is a direct reduction of net debt. As at the quarter end, our ratio of net debt to net capitalization stood at 38.8% with total net debt at $6.3 billion. All free cash flow was applied to debt repayments. We completed a $1.4 billion debt offering in the later part of September and used the proceeds to pay down our short-term borrowings on our revolver and completed a $167 million tender of senior notes due in 2011. This week, we expect to use the remaining proceeds to repurchase a combined $533 million base amount of two additional series of bonds. On October 15, we closed on a new three-year $1.75 billion revolving credit facility, which is of equal size to our prior facility. Assuming the September 30 close date on this facility, we ended the quarter with cash and amounts available under committed credit facilities of $2.7 billion. Looking forward to Q4, we except EPS performance of $0.23 with a $0.06 improvement from operations partially offset by $0.01 increase in interest expense. Operational improvement should be fairly evenly spilt between North America and the international markets, both in terms of revenue and profitability. Of the following non-operational item updates for you for 2010, D&A $1.05 billion, corporate expense $175 million, R&D expense $212 million, net interest expense $400 million, other expense $47 million, minority interest expense $17 million, capital expenditures between $1.0 and $1.1 billion and a tax rate of 18% to 19%. I’ll now hand the call over to Bernard.
Bernard Duroc-Danner: Thank you. Follows comment on Q3. Q3 ran at $0.18, North America made the quarter, both the US and Canada were very strong driven by oil and shales. Oil unconventionals represent 80% of our North American business, it’s by legacy and by design. Latin America and Mexico was also strong with continued sequential growth, both revenue and margins. Brazil and Columbia throughout the year, not only this quarter, throughout the year delivered exemplary performance. Russia was strong in both revenues and margin growth, Russia managed a strong performance sequentially in spite of a one-time $6 million depreciation catch up. We finalized third-party valuations on the acquired TNK assets in the quarter. The $6 million has brought us up-to-date for one year’s worth of higher asset valuation. North US was flat with the UK offsetting weakness in Norway nothing meaningful other than the even flow of quarterly deliveries. The quarter had also some headwinds, Mexico was devastated by the markets drop curtailment of expenditures in all reservoirs except in the south we don’t have Mozart and offshore. To put matters in perspective, we ran in total a 50 strings fully integrated in Q4 ’09, we are now down to three strings country wide specifically in [Inaudible] and Mozart in the south.
-: The region suffers from a disproportionate amount of start-up expenses and likely will continue to absorb these costs through the first half of next year. The software resulted in overall 200 basis point rise in margins, and North American margins rose 430 basis points to 18.3%. International margins, while they were essentially flat, I mean there was a 10 basis point essentially flat. At 11.9%, but this reflects a divergent trend, Latin America rose 210 basis points at 12.4% in spite of a severe drop in Mexican activity reflecting the strong margin performance of the other Latin American markets.
 : The region suffers from a disproportionate amount of start-up expenses and likely will continue to absorb these costs through the first half of next year. The software resulted in overall 200 basis point rise in margins, and North American margins rose 430 basis points to 18.3%. International margins, while they were essentially flat, I mean there was a 10 basis point essentially flat. At 11.9%, but this reflects a divergent trend, Latin America rose 210 basis points at 12.4% in spite of a severe drop in Mexican activity reflecting the strong margin performance of the other Latin American markets.
 : As a part of reference, the prior operating income high, North America was just under 30%, 29.8 while the international while the international peak was 25.2%. Follows the product line summary for the quarter in millions of dollars, I’ll try to give these numbers as clearly as I can. Drilling services for the quarter $429 million, artificial lift system 522, well construction 373, chemical and stimulation 334, integrated drilling 230, drilling tool 201, completion system 187, wireline 155, reentry fishing 149 and pipeline 55. Forward views, North America, in U.S land activity is likely to flatten out. We don’t expect the market to provide significant volume gains in ‘11, but we don’t expect any weakness either overall. There is likely to be substitutional conventional gas segments of further strengths in oil and shale particularly the gas will compensate place. Some product line will do better than others. Progressional decline will not be linear across whole product lines. We expect high perform in our case to be artificial lift simulation, directional incompletion. Pricing trends will be selectively constructive this makes for a good market where share positioning and operating efficiency will yield in better probability of returns and market process alone. In North America, we have positioned just right for changing market trends. We’ll remind the audience that our lavish product lined in North America is artificial lift. Artificial lift which is a pure play on oil represents 25% on North American revenues. On the other side of the coin, our entire stimulation product line and large segment of directional and completions our positioned essentially onshore. We believe that even though the offshore band is lifted we’ll see subdued all shortening activity in US through the near-term. Canada is a distinct outlook in surpass the oils, heavy oil that is, segment is a far greater percentage of the overall market at this point. And heavy oil activity has been suppressed over the past few years. There is some catch-up affectivity to be expected in Canada, we anticipate Canada as a whole to be particularly well behaved. The volumes will strengthen into 11 and even more so in 12. Canadian shale place will be very important in 2012 as the infrastructure buildup that is needed to turn in the Canadian market essentially and oil place since until then. International, overall our assessment to international outlook for ’11 is constructive, it will be increasingly strong as ‘11 progresses. This will lead from ‘12 thereon to period reminiscent of ‘06, ‘07. I realized internal progression initially is a slow and laborious process and yes it requires patience. In Latin America, the progresses for ‘11 is good. In Mexico, we are proceeding still with the only reassignment of equipment and people throughout the markets of Latin America and North America and some extent Eastern Hemisphere. At this point for Mexico, we left for the balance of the year with offshore operations, production related activities and operating operations in the South. As the year winds down, we will start more offshore contracts and gradually form January there on, we will reboot operations in Bogart, Puerto Rico and [Inaudible]. Brazil, Colombia, Argentina and Peru should have robust growth in the ‘11, Brazil and Colombia topping the list. We expect both Brazil and Colombia to lead ’11 growth in Latin America. Will be one of the highest performance in a company. Adding the pieces together, so just Latin America should have strong year in ‘11 with essentially the Latin American market continue to do well and Mexico healing. Eastern Hemisphere is just beginning its recovery process. Russia should have a good outlook in the ‘11 both volume and price activity gains maybe as much sidetracking and production related as development drilling. In the Middle East and North Africa, Asia-Pacific, we have contractual commitments in the hand and have initiatives startups as per my prior comment in a number of countries, Algeria, Bangladesh, Iraq, Kuwait, Libya, Oman and Turkmenistan. We most likely have more to come, we expect the bidding and contractual commitments to accelerate in the quarters ahead. This implies in solid improvement in ‘11, but more a quantum surge in ‘12. There are early signs of client commitments emerging also in East Africa, Asia and the North Sea. True, there are number of other eastern hemisphere markets that haven’t initiated plans or commitments for an increased activity yet. There are although no market showing weakness, Eastern Hemisphere countries are either on the move albeit with a usual initial slow rate of progression are holding steady. Our final growth rate for ‘11 will depend on the efficacy of mobilization, the timing of time spotlight. Regardless, we would expect it to remain the industries best in class and have steadily improving margins. Margin improvements in Eastern Hemisphere are expected to be driven by fixed cost of two options and a gradual conversion of start up cost into operating businesses. And also in simplest, this is very, very short, the emphasis are more efficient using capital with the working capital of CapEx will continue the same drive, as per the press release our press assessment of ‘11 is on and around $30 reflecting roughly a 20% top line growth and 35% incremental year-on-year, with that I will turn back the call to the operator for the Q-&-A session, Operator, please.
Operator: (Operator Instructions) Looks like our first question comes from the line of Jim Crandell with Barclays Capital, please proceed.
Jim Crandell – Barclays Capital: Good morning.
Bernard Duroc-Danner: Good morning, Jim.
Jim Crandell – Barclays Capital: Bernard, first question is about Iraq. Sort of a three part question, when do you think we will get to phase II, in Iraq, which has a more rapid ramp-up; what sort of a ramp up will we see; and lastly what in this phase you think will be the most important determined of who gets the business, will it be who won phase I, or will pricing be the key differentiator? Will there be so much business that’s how it works, that it really doesn’t matter. We’ll test the capabilities of the whole industry?
Bernard Duroc-Danner: First of all I think the, in a way there will not be phase II, there will be, it’s a continues function as well as a discrete function. There will be a series of contracts tendered and issued on a series of other business that don’t get the same limelight as the drilling tenders that will issued continuously by the ten different consortiums. It will be uninterrupted and so you have to presume that the rate of operating increase and the rate of business development is going to be a continuous process, that’s one. Two, to the rate that which will be given out is limited by the process itself because it’s a combustion process for the consortiums with the client and the rate of ramp up itself also is limited by the operating difficulties in ramping up in Iraq. There would be a bit more substantive, because I’ve told you things are generic so far, after the answer to your third question. The basis of competition, best I can tell in Iraq over the -- say the next two years in my judgment its always pricing of course, but it is also be quality meaning the efficacy. The ability to drill faster, the ability to provide intervention that’s more effective as measured by non-productive time, that will be as much of a criteria for competitive advantages pricing. I would also say that the absent issues of security, I think the quantity of work to be done is such that the notion of competitive intensities probably not as troublesome in that market as it might be another market, meaning there is enough for everyone to feel that they have more than they can handle.
Jim Crandell – Barclays Capital: When do you think Bernard that the larger fields like Rumaila and West Qurna, Zubair, Majnoon could get up to ten rigs or more piece in those field? Is that a 2012 event in your opinion?
Bernard Duroc-Danner: Well let’s speak Rumaila to begin with, Rumaila we have already ourselves three strings we like to have fourth string commissioned there within [Inaudible] and our Chinese pears. We probably -- by the time they gear up to the level they’re going to which is primarily quietly three and three unless mistaken. Three and three and that’s something like four, I think with that we end up at ten already in Rumaila. Sometime, I’d say in the early months of next year. In other ward three already at Rumaila and it is possible that we may have to put out the fourth one so you’ll be at ten already in Rumaila this is a point of fact. Zubair and Majnoon and the two West Qurna and Gahaf [ph] and all these field, Jim I think you have to probably look at the end of next year for these field’s to have significant operations really turning with some degree of efficacy, although the client is in a hurry I don’t know the, one would say that all of them would be at ten so I don’t think so. So I think then you have to probably look in 2000 and the following 2012 my years right for those the various fields to be able to reach that level and this is very in precise because again it depends on the ability for the country to digest how much activity increase so it depends on security situation.
Operator: Our next question comes from the line of Ole LlcSlorer with Morgan Stanley, please proceed.
Ole LlcSlorer – Morgan Stanley: Thank you very much. Andy, could you walk us through a little more detail to your assumption when it comes to the earnings forecast you made for the fourth quarter and the full year next year?
Andrew Becnel: Yes, I think Ole, so in terms of the incremental improvement of $0.05 again I think $0.06 would come out of operation looking into Q4. Again I think both on revenue and operating income that should be fairly evenly split between North America and International. Now that was our expectation going from Q2 to Q3, but what we ended up with was an out weighted performance in North America and a weaker International performance than we had anticipated. So, not specifically, and decidedly not try to split that for you in one area versus the other. As you look forward into ‘11 from ‘10 and realizing in essence how strong North America was right now that obviously has an up impact on North America’s prognosis. We don’t expect any particular weakness, yes, we may see rig countdown, but in terms of the spending intensity we could see that fully picked up and make up for a lower rig count possibly in North America next year, with good incrementals again on absorption and pricing gains. We seem to be doing very well on that, on the back of the cost structure adjustments we made over the last 18 months. And then internationally, really I think you can get out of it a number of different ways Although, and that’s depending on your view. Our particular view, is that the international business looks like something on the order of 20% top line growth with North of 30% incremental in ‘11.
Bernard Duroc-Danner: I’ll add a couple of things, only if I may; one is on North America, as much as the quarter is very good in North America, we still only are 18%, our margin on the operating income level and the reason I mentioned the prior peak is that historically for what it’s worth, I mean history, maybe not repeat itself, but historically our prior peak was 13% or 29.8% in North America, the EBIT line and normally in all cycles, at least for as long as the company’s being around, we find a way to cross the fly high which way I don’t know, but as if now we have ways to go from 18 towards the 30 just to go back to what we want, that’ number 1. Number 2, we are a little bit of a different engine that our pears and so far as I mentioned artificial lift is at 25% of what we do in North America, it really is. I think we are the only ones like that, it never used to be great advantage in the past, it was okay. I think in a world of oil market being some more sort of resilient and the gas market perhaps, particularly dry gas our engine works, obviously we are shales and all of the product lines that carry it, but also it works on and around the oil segment, $1 our of $4 is an artificial lift. On the international side, without a doubt, we were disappointed, I was disappointed, with how much cost we took in MENAAP, I mean we are missing a big chunk of income that period. Why? Because a lot of the moving paths that we are trying to moving to the client on the field and it was harder than I anticipated, was slow and anticipate and they cause more than anticipate, that we anticipated. So without a doubt, we got hit there and maybe that doesn’t go on forever. And so there in lies some measure of expectation for us to able to turn that and probably the other comment I would make and not to believe at that point, but in the world where, we are forced to take some non-recurrent charges, Russia was hit by $6 million of depreciation run up which is not going to reoccur simply because we were the sanctioning the high depreciation reflecting the higher values of the assets we bought in TNK a year later. So, put all that together and a slow progression of the international market and it allows us to be constructive on how we liking to do at 2011.
Ole LlcSlorer – Morgan Stanley: You mentioned a reference point 2006, 2007 time period, that didn’t quite captured, can you just remind us what exactly did you say?
Bernard Duroc-Danner: Yeah, the problem is that diagonally we like to talk dollars in order to bale to show them a head of time. What I was trying to say is that maybe it’ll happen or may be want. When I look at where things are, sort of how our clients are behaving, how business is being bid-out, how things started out and so forth. The general tone of the market and our clients psychology and their needs, needs to the client rates, the needs to create more capacity. I look at the rate of the business and what we are doing in 2000 now and 2011, so the, what 2012 reminded me of is something like 2005 or maybe early 2006 because the rate of growth, 12, 13, 14 is what I’m suggesting. And this is not a, this is just a thought reminds me a lot of what I experience in 5, 6, 7 on the international side. In other words 2012 as I see it lined up not only for us, for our piers too presumably, looks to me reminiscent of the international progression, international growth of 1.567, that’s all.
Ole LlcSlorer – Morgan Stanley: Okay. Well, thank you very much for clarifying that.
Operator: Our next question comes from the line of Bill Herbert with Simmons & Company. Please proceed.
William Herbert – Simmons & Company: Thanks, good morning.
Andy Becnel: Good morning, Bill.
William Herbert – Simmons & Company: So not to deliver the point, but here goes. Getting a little bored at your least favorite word, Bernard granular, with regard to the road map on international, it sounds like to me listening to your comments that the main drivers for the year-over-year improvement, ‘11 versus ‘10 are going to be Latin America and Russia and MENAAP going to kick-in big time in 2012, we hope. So, focusing on Latin America and Russia, Andy, I think you said that Mexico revenues were down like $100 million quarter-on-quarter.
Andrew Becnel: $110 million, yes.
William Herbert - Simmons & Company: Okay. So whatever the current run rate is in Mexico would be, I guess, around $100 million or less in the third quarter and yet Bernard talked about the fact that we are at two or three rigs today versus 15 in Q4 of last year and we’re going to ramping up on Poza Rica, Veracruz and Burgos I think, and kind of rebooting, if you will, and the first quarter. So what does that drive in terms of the improvement in Mexico from where we are today? And then moreover, we had commendable growth in Brazil and Colombia and other Andy, and countries if you will, and that sort of bucket representing a much more substantial piece of your business today. Do we witness the same level of growth in 11 that we witnessed in 2010 and if so, why?
Andrew Becnel: Yes, so first on Mexico, as Bernard mentioned that we were down to three rigs and that all three of those rigs were running just in the project in the South in Villahermosa and so the reboot, so you understand we look for almost nothing between not and the end of the year and expectations are, that we would think we’d run something like four rigs only in Chicontepec on average during 2011.
William Herbert - Simmons & Company: Okay.
Andrew Becnel: In the North, that project calls for six rigs, that contract actually this quarter was expended and expanded.
William Herbert - Simmons & Company: Okay.
Andrew Becnel: And so think about those rigs and we think that will be up to begin rebooting in early part of the next year.
William Herbert - Simmons & Company: Okay.
Andrew Becnel: And then keep the three rigs running perhaps the last one but we haven’t factored that and don’t count on that it all.
William Herbert - Simmons & Company: So we are taking like, what like 13 to 15 rigs on a steady state basis?
Andrew Becnel: I think it does and its there.
William Herbert - Simmons & Company: Yeah, good.
Andrew Becnel: I think we want to add also to that a possible variety of other production related business and you want to add to that two more offshore contracts that we signed up, not to make Mexico a bed of roses partly. As for the comments we made, we understand the -- we have live the high volatility of that market, I mean that painfully, so we’re clear on it. But, we have started up our first offshore contract now, which is a forget the size of the contract that I will for memory it’s about a $100 million over a couple of years if I remember correctly, but anyway and we’re starting two of the offshore contracts also. And so the sort of the prognoses of Mexico is good, but it has to be good, because there is nothing left.
William Herbert - Simmons & Company: Right.
Andrew Becnel: So, I mean only from the basis of this so low unless you leave the market we should be decidedly will not do, it’s a very important market even if it’s one that has have to major hiccups, but initially if the market which some of our peers will, but we will not. I think the market can only get better, the question is the rate that which get better and we are couscous on it, but it is constructive.
William Herbert - Simmons & Company: So, we were gendering $450 million a quarter kind of Q4 last year peak will less than 100 a day do we get back at something that’s approaching $200 million a quarter for 2011?
Andrew Becnel: We’d perhaps at the end of the year, but I don’t build that kind of look at Latin America being about a $2 billion region next year.
William Herbert - Simmons & Company: Okay.
Andrew Becnel: We should kind of square you in at maybe around 1.6 this year or something like that.
William Herbert - Simmons & Company: Okay
Andrew Becnel: Mexico is not more than $600 or $700 million of that.
William Herbert - Simmons & Company: And walks us through the road map for Russia here, we are ramping on TNK, but I assume we are under employed with regard to the utilization of your assets, you guess and we will pull through on that front touch activity, so that generates a nice growth, how much do we think, and what kind of specific discussions are you having with E&P companies in Russia, so we can get a framework for what ‘11 looks like?
Bernard Duroc-Danner: It’s not anything across the board, we’ve been increased drilling activity by X-amount, Russia will have in the movement like that probably in 2012 and 13, 2011 for us is the more volume and sidetracking, it’s more volume in intervention, there is more volume in development drilling and some exploration drilling, particularly in Eastern Siberia, but it’s all of the above, it’s a medley of all of the above. To think of it there is a market where towards the end of 2010, Russia is roughly a $1 billion towards at this point, you have to think of it in terms of a volume ramp up, somewhere between, 20% to 30% in 2011, combination of all the things I have described, I will say that much of the growth is not all the growth is not with original core client TNK it’s with the variety of other clients in that market, which is healthy, healthy for both already, they’re diversifying, we’re diversifying, so it is well balanced and you absolutely right that in terms of equipment and infrastructure in the like, we are long, and so that for the on the one time the CapEx in terms of other the absorptions should be good.
William Herbert - Simmons & Company: Great, and just to be clear, the year end, 2010 will be at an annualized run rate of $1 billion in revenues and by year ‘11 and by year end of ‘11, $1.02 billion to like $1.03 billion?
Bernard Duroc-Danner: I think that’s fast.
William Herbert - Simmons & Company: Okay. Thank you, guys.
Operator: Our next question comes from the line of Marshall Adkins with Raymond James, please proceed.
Marshall Adkins – Raymond James: Good morning gentlemen.
Bernard Duroc-Danner: Good morning Marshall.
Andrew Becnel: Hi, Marshall.
Marshall Adkins – Raymond James: Let’s shift gears over to back to North America you hatch up the international site pretty well. Obviously, artificial lift is a big component of what you’re doing, it’s somewhat unity all versus your peers. Fill us in on what’s happening there in terms of pricing and are we seeing delays in orders for equipment, due to the fact that someway these wells are so prolific in the shale, all the shale place?
Bernard Duroc-Danner: I think the pricing side, there is good recovery in pricing, it’s gradual, Marshall. There is some build up of inventory on and around the larger size equipment for more through the movements without a doubt. So, that will translate in some delays.
Marshall Adkins – Raymond James: Okay, what about other areas of North America where there maybe bottlenecks in additional artificial lift and are you adding pressure pumping capacity to take advantage of the strong market there?
Bernard Duroc-Danner: I wouldn’t say Marshall at this point in time that what bottlenecks, artificial lift is right yet, but ask me the questions in a couple of quarters and see how we answer it. We are adding pressure pumping capacity, we are adding it with only one client application and only one, which is take-or-pay contracts a in liquid rich place. I think Eagle Ford or Granite Wash related okay, until every instants were I think we can add a capacity where the contracts appear to be, for the first time in my 25 years in the industry really take-or-pay contract, I have never really seen any of our real take-or-pay contracts maybe I would never were lucky enough to have any, but if we couldn’t be sure they are real take-or-pay contracts and the economics are healthy, yet we will permit capital for that. Incidentally, the take-or-pay contracts probably the full range of product line involved in shale development that would be and you would expect in addition to stimulation, directional and zonal isolation completion tools and we’re like. But we are adding capacity for that, and to my best of collection we have fully take-or-pay contracts to-date and I believe that all of them I need Eagle Ford and they go up by a bit more depending again on what are the contractual side is reasonable. We’ll not do anything else from that. We’ll actually try to put as much of fleet on take-or-pay as we can, the exciting fleet.
Marshall Adkins – Raymond James: And ballpark, can you tell us how much horsepower are you adding on those contracts?
Bernard Duroc-Danner: It’s about 50,000 of a piece, so it’s a three times of five, is 150.
Marshall Adkins – Raymond James: Well, okay on a basis 600, is that roughly about.
Bernard Duroc-Danner: No the basis was 500, so I think more in terms of 650.
Marshall Adkins – Raymond James: Okay.
Bernard Duroc-Danner: Next pause, not to be clear.
Marshall Adkins – Raymond James: Great, thank you.
Bernard Duroc-Danner: Thank you Marshall.
Operator: Our next question comes from the line Angie Sedita with UBS, please proceed.
Angie Sedita – UBS: Thanks, good morning guys.
Bernard Duroc-Danner: Good morning Angie.
Angie Sedita – UBS: First on Mexico the, just to get a little clarity there on the $54 million charge, is that primarily associated with the ending of ATG 1 and 2 early in the third quarter and then ATG 4 still moving forward I assume.
Andrew Becnel: Yeah, Andy we’ll [indiscernible] but I just give you a personal view, the whole business of that billion dollar contract has been a questioning also for us, I do appreciate that, that operation, which was built up to 42 strings. It was running extraordinarily well, very efficient and Q4 of last year it wasn’t that long ago, we are drilling those wells at very low cost and no one never thought possible and that project incidentally just on the economics of the wells and the embedded pricing of the contracts was going to be a very good project. You know, what happened in Mexico, best way we –we chose to describe as we talk about the change in public policy if you have a better way of expressing it by all means, but it is what it is, I’ve never seen the situation were an entire more than one reservoir, it’s not only Chicontepec, Burgos and everything about the acusis say fall in the same category did not go down they would basically shut down. No more expenditures in the reservoirs. As a consequence that very large project, which was in sort of -- not finished I mean, you had a number things that well had to be drilled then also production related activity in effect it was canceled and so we left with -- but it was numbers of cost basically they had to be normally distributed over the life of the project as it had been. And all of a sudden they had no project so there you are and that doesn’t account for dismantling of the operation and enormous operating difficulty we have to face and everything else. This is not meant to, by we have a complaint, this is meant to say that this is not the max of financial sort of – what’s the term, financial flexibility that we wanted to extend ourselves, this is exactly the figures of accounting on the one hand. On the other hand what is extraordinary, it went to public policy, which has been an operating we lack about the certain operating nightmare for us. The one that I think we have pretty much managed at the best of our ability and also to remind the audience well I said before Mexico is not a market at all, that we are turning our back on quite contrary, but we’re just getting it down very substantially and we understand the volatility of the market also and we’ll not forget.
Andrew Becnel: Yeah, and Andy the one thing to add there is yes ATG-4 continues on, there are 400 wells left to drill there and so given the change and what we expect taking down estimates on activity and modifying what we believe the exact well mix will be one of these will be deep wells or shallow or less expensive wells because remarking if you will of our anticipated future profit on that project. So, yes, it does proceed, it stays intact, I’ve mentioned that we expect to do something like four rigs of activity on average in that project next year, which we think is very reasonable, given the surrounding circumstances, with a lower level of profitability than we had expected. If things end up being better than that, activity picks up and things are done more quickly, or well mix is more favorable than profit estimates go up. So at this point, we have marked it to what we believe is reasonable.
Bernard Duroc-Danner: To summarize, operationally we did very well. We find ourselves in this instance, victim of a political shift. It is what it is. You can rest assure and Angie if that the positions that we take on and around profitability of Mexico, are conservative.
Angie Sedita – UBS: Okay. Fine. Alright, that’s helpful. And then, as a follow-up, certainly some impressive guidance for 2011. What do you think could be some risk to that guidance and then even what could be outside for those numbers?
Bernard Duroc-Danner: Obviously, on the risk side work longer than the risk on outside, but more seriously, I think the risk, well you know what it is, it is the North America that, because we remain its important North America for us, we have a change in the market tone in North America and I mean a double barrel change, not just gas, but oil also and I think that all of sudden respect the international market. It is really an operating efficacy issues, that’s all it is. I mean client delays and things like that will always occur, but they don’t go on forever. And so at the end of the day, you are left with operating efficacy, focus on quality, that our success or absence in success there will be, we will make $1.30, some things that we deliver or some thing that we could improve upon on the companies of income sort off. So, North America and operating efficacy.
Angie Sedita – UBS: Okay. Great. And then upside 2011.
Bernard Duroc-Danner: I’m sorry. You broke up for a second.
Angie Sedita – UBS: And then where could you see potential upside to 2011, what market as to any could you just say better than expected results?
Bernard Duroc-Danner: You see, as a market energy, we intend to push the P&L benefit, a lot of the operations are starting up. Now and in the quarters ahead into 2012 on the basis that even after they get started up, say in March, April, May, June, July and so forth, there are teething problems and we are taking cautious here and then they start to re deliver and blossom and so forth by the end of ‘11, and we can see it in ‘12. Okay, and then in sort of the view we take. Clearly if operations are deliver – the various contracts P&L earlier that way for the long sort of that teething periods then you have seasonal tried immediately. Because that would also add that the pricing on the various contracts and start ups and everything else we got, is the pricing which is already market involve where pricing has been in international markets. In other words, the economics of the various contracts and they’re different of course. In other words the economics of the various contracts and once things are operating primarily if we know should be good.
Angie Sedita – UBS: Alright, thanks guys. That’s all I have.
Operator: Our next question is a follow up and it’s comes from the line of Jim Crandell with Barclays Capital. Please proceed.
James Crandell – Barclays Capital: Bernard, your last comment that you made to me on Iraq was that quality would be the most important. Do you think that your sort of four to five year leave time in that country gives you a significant lead in the eyes of customers in that regard and is that of the sustainable advantage?
Bernard Duroc-Danner: To the extent that we have made mistakes already and therefore we learn how to correct them. Yeah, the extent appears learn how to outpace the minimum mistakes that we’ve made. No, question is well peers learn how to operate that with stepping along the way, I don’t know. But, we have drilled today’s anywhere between 15 to 20 wells, I can’t remember and I think we have intervened in front of 100 of wells in Iraq, and we have close to a thousand people working in Iraq. And so along the way we have learnt a lot.
James Crandell – Barclays Capital: Okay and question you reeled off some countries in which we are starting up the operations here in the next quarter or so including Turkmenistan, Kuwait, Libya, Pakistan, Oman, Algeria, I think I got most of them. Two questions Bernard, number one is what do you attribute your the fact that you are winning a lot of these contracts where that the most relationships with the NOCs of these countries as that your capability is been IPM products. What is that’s winning all these contracts for you?
Bernard Duroc-Danner: It’s an interesting question, I would say, that our peers are winning a lot of contracts too. Certainly if you look back the rate of press releases, they’re. So that would be a one thing. I think each situation is a little bit different. Places like Algeria for example all of that appears in that contract we had the largest level of five strings, but they’ve four, three and two, if I remember correctly. Places like Oman it’s a heavy oil, heavy oil is our specialty. So we know we I mean I’m sorry to say that but the much of line our project at Chicontepec is heavy oil too. What we are doing in Colombia – heavy oil also et cetera. We will be doing in Kuwait is heavy oil. So there is the a very big heavy oil component to what we do. They said heavy oil is having a rise in relevant than we benefit from it. And it has to do with the operating skills we have on and around the heavy oil, and the product lines we have and the project management we have on and around heavy oil. We respect to things at Bangladesh, Libya and Uganda and places like that. I really can’t tell you why except that I’m sure that my fields have similar projects elsewhere and maybe they will mention it in near time. So I really want to say any more in terms how we differentiate ourselves comparatively for lot of reasons, one of them to keep these.
James Crandell – Barclays Capital: And how many are there roughly percentage of these jobs IPM?
Bernard Duroc-Danner: All of them are.
James Crandell – Barclays Capital: All of them?
Bernard Duroc-Danner: That’s not true a bigger problem. Kuwait is not, my apology but Algeria, Oman, Turkmenistan, Libya, Bangladesh and Uganda, no, I’m wrong on another account, Libya and Kuwait are not there, Kuwait is not period, Libya is similar, but the other Turkmenistan, Bangladesh, Uganda, Oman and Algeria really are. I would say also in spite of everything we do in the south of Iraq is IPM not in and all it’s bundled, but in southeast IPM.
James Crandell – Barclays Capital: Okay, my last question Bernard. Does your strategy for 2011 include plans to extend -- and doesn’t include plans we tried to implement the strategy of pulling through your down hole tools and services into the BPPNK acquisition that you made?
Bernard Duroc-Danner: Well, the later we’ve gone with some success with other clients, the NTNK, we have done to some success with the life revenue at new coal and gas probably after so far. We are very grateful for that. We have not been very successful in doing TNK, I think I share with some of you. I may be too harder on it. On the other hand, some things that take longer than others but I am very grateful and ready for the spreading of all wings in the rest of the Russian markets. So I think that is a victory. We respect to Bret [ph], is run run separately from us and very well run, Bret [ph] is focusing on some selected international markets while if we do provide all the help that it can but at the end of the day I think Bret [ph] will earn its international victories on it’s over and I expect a few to come across the desk probably in areas of Latin America will be my first deck.
James Crandell – Barclays Capital: Bret [ph] how big in revenues on a run rate basis now?
Bernard Duroc-Danner: I can’t tell you that. Not it’s, I’d likely to be bigger than it used to be.
James Crandell – Barclays Capital: Okay. That’s it. Thank you.
Bernard Duroc-Danner: Thank you Jim.
Operator: Our next question comes from the line of Mike Urban with Deutsche Bank, please proceed.
Mike Urban – Deutsche Bank: Thanks, good morning.
Bernard Duroc-Danner: Michael Good morning
Mike Urban – Deutsche Bank: So you have given us a lot of detail on your plans in the near-term and for next year in Mexico to the extent of that they do decide to ramp up and spend as more money would, is your ability to respond for that in relatively term we passion and probably more importantly given that you have talked about and sort of the sense you were in there would the approach be any different or is there anything you can do to, to better protect yourself on the margin side.
Bernard Duroc-Danner: First of all, our ability to respond is sadly very good, I say sadly very good, because it reflects a larger in infrastructure we had in that place so the, we have kept a lot of equipment, our best estimate of what would be required probably bit more than it will be required and then the rest is being deployed. So the ability to respond has been kept, that would be good, I don’t view that as a great victory and it’s simply to be the bright side of moon, but they will ramp up incidentally the notion having a little over one half of the reservoir shutdown is not, is not a politically a desirable thing, at any level all at the the national and political contingency that’s what happened is that they will have to spend the budget, that’s a catch up the prior budget over expenditures of past, why now, why they way they do is done that way it was done I cannot comment on that, it’s political decision, I don’t think that is one that the way they intent to sustain it. As far the more they will have quote for their budgetary expenditures by the end of this year anyway. So they will ramp up to what degree and I think it would be in cautious on it, but they would ramp up from the North of Burgos way down to what [inaudible] okay. Lessons learnt, for the operating standpoint I will tell this until on longer tired, for an operating standpoint I am very proud what we have done in those markets, because we’ve operated extremely well. In difficult conditions about ramping up 50 strings in a short period of time right and then as well as we did I am extremely proud of it, that we learnt so lot from operating standpoint. Our problem did not come from operations, our problem did not come either from financial calibration, because the process on what we did when down dramatically and the profit curve went up. Our problem perhaps it was not understanding fully the political complexity of the country we were at. And I think, I am not sure that there is, it’s less that we can capitalize any expect you just know in our hearts that past from a communication standpoint particularly with Wall Street, we all to be far more careful on what we expect after market, which maybe as, politically at times volatile the market is, that is more a communication issue against the Michael, then it is either a operating issue or a sort of financial recording issue, what I think in both cases, things would, I am very proud of what we did and things were done particularly, put in other we probably were too proud of what we did, so we did in different sector we’re very lucky. And I did what it is.
Mike Urban – Deutsche Bank: And I guess, similar question, but different dynamic, I suppose and -- that’s been a bit of just slow grind down , seems to be bottoming -- some signs of progress they are both politically and in terms of payments, what you see in that markets --?.
Bernard Duroc-Danner: We still trying to as well down to a level we felt that was reasonable and responsible and it all runs at about $200 million for [Inaudible]. And I think at that level we run the business, so there is much of using local currency and local cost structure if possibly can, and keeping our infrastructure together and we wait for time and what will be at some point in time very important market, don’t try to increase the exposure. We are not decrease of the exposure either and at the level I just gave you, it’s a modest percentage relatives about $200 million is about 2% what we and so that’s probably what you expect for us, are the margins are reasonable, but where the keys you try to limit as much as you can, your exposure to future evaluations of which, given how the economy is does a always a possibility which is what we try, we strive to do it, I think present.
Operator: Our next question comes from the line of Kurt Hallead with RBC Capital Markets.
Bernard Duroc-Danner: And operator, this will be our last question, because I have just noticed, we’ve passed the hour.
Operator: Please Kurt.
Kurt Hallead – RBC Capital Markets: Thanks Bernard. I was just wondering in the context of that as a spirit of last question as well, I think there had been certain relatively recent changes from an operating standpoint that you had there internally. Just wanted to try to engage here as we move forward into this next round of growth opportunity for you. How much of these changes internally, do you think place you in a exceptional position, to execute versus maybe what you had to kind of deal with as you were expanding rapidly into Russia for example Mexico and so on and, what kind of systems I know this is all boring stuff for you Bernard but what kind of systems you have in place now to ensure that, your expectations have been met?
Bernard Duroc-Danner: Well, you never have the right systems initially expectation never met I think almost that always comes short what you expect and in short but the genius are referring are to about one year old I liked him very much -- actually is running the company what amounts two Chief Operating Officers one in the east and one in the west. I’ve never believed in the one company widest it’s just our point of view I think both having the sales are quite different. It will need because of the distance and time zones and also culture, so with two hemispheres from an operating standpoint I find that the progress on the operating side and what I’m after which is really quality in terms you used that in optimum quality, our operating efficacy, productivity, low and non-productive time that’s where our focus our attention are suddenly our mind is the growth remains our objectives, but – reach it is actually operating quality. So the emissary structure has been very effective also I want to pay [indiscernible] the two leaders on the product line side in simple terms one drilling the other one production with clear cut focus on the strategy, the quality of the people we have on and around product lines, the evolution of research and development in the acquisitions that are necessary to built and nurture our product lines are very, very broad. If two leaders in the product lines and two leaders on the operating side is a very good team, it’s probably for me at this points probably the cleanest operating team that have as far as I can remember.
Kurt Hallead – RBC Capital Markets: If I had to say there is one additional follow-up just I think coming into the 3Q there is some general expectations that your Eastern Hemisphere will grow kind of double-digits maybe plus. What you think the major bottleneck was looking at the third quarter to coming out of the second quarter?
Bernard Duroc-Danner: I think so far to summarize it two things undeniably everything was slower than I expected undeniably, procedure to go through borders inspection of the equipments, specking of equipment, preparation of well side everything was slow than I excepted or perhaps than you rephrase this. The way things unfolding as I often say it’s no different than it always unfold, unfortunately even I myself tend to forget that things take more time and then therefore I would say if anything we will little bit too optimistic and too how we get even though we know so [indiscernible] lack of knowledge. There is nothing in particular current [ph] except there is certain slowness about everything it’s done particularly this is the one part I forgot particularly when international markets wake up. When they get going after a year or two it seems that things are more efficient and they move faster, so when they pull back go through a deeper session like they did and then they really vacant that’s when ultimately everything seems to be more sluggish something about that will my most qualitative description of what happened. We all taking the consideration of and we have in the course of the quarter we’ve done a number of Wall Street communication different parts of the world and what we’ve done, we try to convey the fact at this point changing a little bit on message is that although the international growth will be everything people expect. And that’s why I used in analogy ‘06, ‘07 at the same time, the beginnings is always slow. And we take it in consideration now very carefully in our financial pronouncement.
Operator: Ladies and gentlemen this will conclude the Q&A portion of the call. I’d now like to turn the call back over to Duroc-Danner for closing remarks.
Bernard Duroc-Danner: Thank you very much and this concludes the call. Thank you.